Rob Wheals: Thank you, [indiscernible]. And good morning, everyone and thank you for joining today’s call. I want to start by acknowledging the traditional custodians of country throughout Australia, and pay my respects to their elders past, present and emerging. I'm joining today by CFO, Adam Watson in APA Sydney office and we are on the lad of the Gadigal people of the Eora nation. I want to start by acknowledging the enormous and ongoing contribution of our people. And as we remark the end of what's now the second year of the COVID pandemic, our people around Australia have demonstrated an unwavering commitment to delivering for our customers in the face of the challenges that we've all seen, border closures, isolation requirements, and travel restrictions. We simply would not have been able to achieve what we have during these past two years and indeed in this first half of financially year 2022, without the resourcefulness, resilience and commitment of our people. And for that we are truly grateful. They are what make APA, a leading Australian energy infrastructure business. Next slide please. At ACA we connect Australians with responsible energy solutions and we create value for all of our stakeholders, including our customers, the communities in which we operate, our people and our security holders. And in fact, over the past five years, we have paid $2.8 billion in distributions, that’s $2.8 billion to our security holders. And at the same time, we've continued to invest in and grow the underlying business for the benefit of our customers and our communities in which we operate. And in this financially year 2022, we continue our long track record of growth in distributions to security holders while we continue to offer to maintain investment discipline and a competitive cost of capital. I’ll now turn to our safety performance for the half year. And I'm very pleased to say we have achieved a 32% reduction, that's nearly a one third reduction in our total recordable injury frequency rate, or TRIFR. And in fact, in January, our operations and maintenance team, and those folks operate and maintain our transmission, our power and midstream assets, they celebrated 12 months with no lost time injury, which I think is applaudable, and also six months without a recordable injury. And that is for both APA employees and contractors. I think you'd all agree that this is a tremendous effort. Now, while these inroads on safety are welcome, safety must and will remain an area of relentless focus for us. And we know of course, that we have more work to do, especially as it relates to our contractor workforce. And we've again, delivered high reliability, operational performance for our customers with 99.9% of our customers, gas transmission, nominations being delivered. And what that means is that almost 100% of the time our customers get exactly what they ask for. And that's certainly consistent with our customer focus and our focus on our customer promise. I particularly want to call out one exceptional example in Western Australia recently which experienced a record heat wave. In fact, temperatures exceeding 51 degrees and these heat wave conditions coupled with very high demand from our customers in the resource sector, put enormous stress on the operation performance of our Goldfields pipeline, which runs from north to south in Western Australia, serving those regions. But it was extremely pleasing that our Goldfields get pipeline-maintained reliability throughout this period, continuing to deliver energy for our customers, predominantly mining customers. And it's a testament to the combined hard work of the high performing APA team. Next slide, please. Now this strong operational performance, which I just talked to. I underpin yet another extremely solid financial performance. And we continued at the same time to make strong progress on the execution of our strategy, laying the foundations for future growth. And our half year results today, pleasingly reflect growth across all segments of the business, with particularly strong performance from our Victorian Transmission System and also the Diamantina Power Station. Our revenue is up 4.3%. underlying EBITDA is up 4.5%. And our free cash is up 22.6%. And our distribution growth reflects strong cash conversion. The benefits of our March 2021 debt financing activities is little under 12 months ago, as well as a positive output for the business. Distribution of $0.25 per security is a 4.2% increase on the same period last year. And our financial year 2022 distribution guidance of 53 cents per security is maintained and that's a 3.9% increase on financial year 2021. Our results also benefited from tariff escalation with almost all of APA’s revenues linked to either Australian or U.S. inflation rates. The recent increase and forecast of higher inflation rates will continue to support APA's future revenue growth. Next slide please. And I'll now touch on the strong progress we've made in the execution of our strategy. And to that end, our existing portfolio and organic growth pipeline continues to give us confidence about our capacity for growth. And I'll give you some examples. We're responding to the changing energy needs of our customers with our Western Australian micro grid, which is close to full operation. And this is APA’s first micro grid investment. And we'll see our customer reduce their operations emissions through a combination of solar, battery storage and gas generations. We're also continuing to expand our energy portfolio and you would have seen our recent announcements to invest in the market Mica Creek Solar Farm, Mount Isa. We continue to work on the proposed is Kurri Kurri Lateral Pipeline in the Hunter, and that's become all the more important with the recent news of origins arriving power station closure being brought forward seven years. We're actively engaged in two major hydrogen feasibility studies, one green and one blue. And they have the potential to unlock future energy technologies. And in an Australian first, we're also proposing to test Victoria's high pressure gas transmission system to safely blend hydrogen. This is part of our Victorian Transmission System access arrangement submission to the Australian Energy Regulator, or AER. And this, together with all the other aspects of that access arrangement submission was tested through extensive stakeholder engagement over the course of the past 12 months. And as we execute our strategy, which clearly, we are very focused on we all, of course, will maintain a disciplined approach to the way we invest and a commitment to keeping our balance sheet strong. I’ll now turn to our core portfolio. We all know that around the globe, there's a fundamental rebalancing of the energy mix underway and it's accelerating. And in Australia, we are right in the forefront of this change. And you can see from the chart, the significant role that coal currently plays in our energy mix, makes up nearly 65% or two thirds of the generation mix in the National Electricity Market. That's an enormous contribution to our energy mix from a fuel source we know has been rapidly withdrawn. Indeed, I've already mentioned our origins plans to close the nation's largest coal plant, which is responsible for 20% of the electricity in New South Wales and provides about 7% of the NEM capacity. And this will be closed or forecast to close seven years earlier than previously forecast. As the energy transition gathered pace we extremely confident in the critical role that gas will play. Gas is substantially lower in emissions than coal, and we are confident it will grow its share of the energy mix, complementing renewables as coal comes out of the system. And on that topic, we saw in the January letter from Larry Fink to CEOs where he also noted that gas is essential to ensuring the continuity of affordable energy supply. And plain fact is that with coal coming out renewables just aren't capable of doing all of the heavy lifting and won't be capable of providing the grid stability that Australia needs. And while we are supportive of the role that batteries will play in our energy mix and in fact, we are investigating battery opportunities ourselves, gas generation is the perfect and natural companion to variable renewable energy for providing on demand, peaking power and long duration firming. And the next slide is a real-world example of a crucial role guests does and will continue to play. Now, the experience in South Australia provides a useful case study. And I'm going to spend a little bit of time on this because it's really important. And it should be noted that the situation in South Australia is where we have a state that has not been a heavy user of coal fire generation to begin with. The transition there is years ahead of other markets and you can first-hand the critical role played by gas as coal has been withdrawn from the system. And over on the chart, you'll see that gas has stepped in to provide 35% of South Australia's energy today, with electricity today. In fact, investment in gas generation was required in South Australia in 2019 to further firm renewables and support reliability. And that will be the case in other markets as the energy transition gathers more pace. Now that's not just the APA house view, The Draft 2022 AEMO Integrated System Plan or ISP, which if is released before Christmas backed this up. And it notes that by 2050 in the step change scenario but without coal the NIM will require nine gigawatt of gas fire generation in total peak loads and firming. As coal is withdrawn elsewhere across the NIM at ever increasing rates and including in states that have a far heavier reliance on coal today, in the South Australian example our Eastern state, so Victoria, New South Wales and Queensland, we should expect that gas will have a similar trajectory, but on a much bigger scale. And indeed, we've seen this in New south Wales already with the development of the Hunter Power station at Kurri Kurri. And now with a roaring forecast to close in 2025, we should expect gas to step up yet again, There is no doubt that the energy transition presents enormous opportunity for Australia and for APA, but as a nation, we do need to ensure we keep the balance and we do need to continue to invest in the old to ensure that we keep the lights on as we transition to the new energy systems of the future. And we only need to look at the experience in Europe for a real-world demonstration of what happens when ambition gets ahead of reality on the ground. And it’s while we continue to invest in gas and gas infrastructure with the absolute confidence that this essential role of gas will continue well into the foreseeable future. And moving gas around our East Coast grid to maximize every ounce of capacity that required to support gas demand and electricity generation will be front to the mine as we expand our East Coast grid by 25% linking Queensland with Southern markets. I’m now going to turn to our organic growth pipeline. Our consistent with our vision to be world class and energy solutions our organic growth pipeline is responding to the needs of our customers, our East Coast gas grid expansions underway as is our Northern Goldfields Interconnect pipeline. And as I talked earlier, we are working exclusively with very hard to develop the pipeline and the storage for the Hunter Power Station. At the same time, as I mentioned earlier, our first hybrid energy micro grid investment at the where mine site is expected to be operational by the end of this financial year. You would be aware that we have recently announced the two-stage development of our Mica Creek Solar Farm in Mount Isa. And our investments at Mica Creek are in direct response to the enthusiasm of our customers in the region for integrated energy solutions that can meet both their energy needs and also reduce spare operational emissions. And it’s important to know that gaps continue to play an important role in that. And with continued strong interest from our customers, APA investigating a potential third stage expansion, which will update you on due course. And our vision for the region is for a world leading hybrid energy grid. And as part of that, it’s our aspiration to support further increase in renewable energy. Importantly, our aspiration can be delivered without government subsidies and without imposing what’s an effective tax on Queensland energy users, which is in stock contrast to the copper string two proposal, which is currently the subject of a consultation regulatory impact statement or CRIS. And we are pleased to be able to continue to provide our customers with energy solutions that support and diversify the Northwest mineral province with affordable and renewable electricity. Next slide, please. Now consistent with our strategy we’re also pursuing growth through disciplined M&A and the potential acquisition of Basslink is consistent with our strategy to expand our electricity transmission footprint and invest in renewable energy sources. The successful acquisition of 100% of the bank debt in Basslink, which we announced earlier – just earlier this week, we’re very pleased about and provides APA with the opportunity now to work with the receivers and managers to put Basslink on a sustainable footing going forward. And it further demonstrates our commitment to supporting this critical energy infrastructure so that it can continue to deliver reliable interconnected electricity between Tasmania, Victoria and into the national electricity market. And if we are successful in acquiring Basslink, we will work with Hydro Tasmania customer, the State of Tasmania, the Australian Energy Regulator, and other key stakeholders to convert Basslink to be a regulated asset. And with that in mind, I’ll now give you a snapshot of the key role we see ourselves playing in the energy transition here in Australia. We are committed to the energy transition and a low carbon future. Importantly, existing gas infrastructure is not just essential for powering the nation today. It will also be essential to the delivery of cleaning – a delivery of clean molecules into the future, such as biogas and hydrogen, which are likely to be critical additions to our future energy mix. And in this regard, we are making good progress on our Pathfinder program initiatives. And our first hydrogen project is targeted at enabling the conversion of the section of the Parmelia Gas Pipeline in Western Australia to be Australia’s first 100% hydrogen‐ready transmission pipeline. And importantly, in that regard Phase 2s now are underway with lab testing of the pipeline materials in gas, hydrogen conditions. And as I said earlier, we’ve also a proposal under consideration to develop what’s effectively going to be Australia’s first blueprint for hydrogen blending in Victoria, which have approved would test the Victorian transmission system, which is in excess of 2,000 kilometers of high-pressure transmission pipeline for the safe transportation of hydrogen. And this as part of that, we would leverage the well-advanced work, which as I mentioned earlier, is already underway on the Parmelia Gas Pipeline. As well as the green hydrogen feasibility projects in Central Queensland, in Western Australia, we are actively supporting a feasibility study to identify opportunities, to commercialize and distribute low-cost blue hydrogen. You’ll be aware of our ambition for Net Zero operations emissions by 2050 and our commitment for interim targets and those will align with the Paris Agreement and I’m pleased to say that works well underway, and we look forward to updating you and due course, as we finalize what is important work. Importantly, we have also made strong progress on our sustainability roadmap. And during this financial year, we’ve prioritized a number of issues that we believe can be built into strength. And some of these steps include embedding the management of scope one and two emissions into our strategy commencing our Net Zero & Climate program. We’ve joined the UN global compact, and I’ve personally joined the CEO Climate Leaders Coalition, now committed APA to taking action on climate change to support the Paris Agreement commitments. We’ve also accelerated and evolved a number of other initiatives, including introducing a set of employee entitlements that embrace a new generation of family friendly workplace policies and I have to say that’s been well received by our employees and that’s – is focused on boosting primary parental leave benefits to be among some of the best in the country. And so, with that, I’ll now hand over to our CFO, Adam Watson. Thank you.
Adam Watson: Thank you, Rob, and good morning, everyone. So, to echo, Rob, we are very pleased with our financial results for the half, which builds on the positive momentum we saw towards the back end of FY2021. At the macro level, our revenue was 4% higher than last year. EBITDA was 4.5% percent higher. And our cash flow was up 23%. All of our segments delivered EBITDA growth. Our distributions are 4% higher and we continue to have a very strong balance sheet. Our results reflect our strong operating model. We have solid foundations such as our inflation link revenues, which delivered stronger earnings in rising inflationary environments. Our strong cash flow conversion is another foundation, which allows us to appropriately balance our desire to internally fund our investments and concurrently reward our investors with healthy distribution. We govern and manage these foundations through our capital strategy, which continues to serve as a critical tool to create value for you our security holders. So, let’s kick off our analysis for the summary of our revenue growth on Slide 17. On the basis, we largely generate revenue by selling capacity. Our key drivers of revenue growth continue to be tariff escalation and contributions from new assets. And the latter is why our organic development pipeline is so important. So, starting with tariff escalation, I’ll remind you that almost all of our revenues are inflation links. Our Wallumbilla Gladstone Pipeline, or the WGP is linked to U.S. inflation and reset each January based on the prior November rate. For the calendar 2022 year, we will see our WGP revenues escalate by approximately 7.5%, again, that’s for the calendar year 2022. Our other assets typically escalate revenues based on either quarterly by annual or annual Australian CPI adjustments. This had a positive impact on our first half results. And we would expect this trend to continue through the second half and into FY2023. We delivered good growth from our energy infrastructure operations during the half. And like Rob said, the two standouts were the Victorian transmission system, which benefited from its variable revenue model, and we had strong customer demand at the Diamantina Power Station. Furthermore, our operational performance robust, which flow through our Victorian results, continued to show incremental improvement. Our asset management activities were also strong during the half across all states driven largely by a number of asset relocations and a number of refurbishment progress project. Re-contracting has been topical in the last couple of reporting periods, and we continue to remind our investors that we are a business with many contracts that cover many different types of services. Contracts can be long or short in duration, depending on the service being provided and re-contracting is a part of our day-to-day operation. What enables APA to deliver stable earnings each year is the diversification of our business. We operate across different markets and different customer segments. We provide a range of services across a range of assets. We have a range of revenue models, and this may – we are well placed with the same market volatility, good or bad to deliver consistently solid results throughout our investors. Moving on to our costs on Slide 18. I’d like to firstly acknowledge the operations and maintenance and the procurement teams in particular who continue to drive operational efficiency improvements. You can see that despite the rising inflation, we have kept our operating costs flat during the period. Importantly, this was done with our compromise to our safe and reliable operations, which was impressive. You can see that we increased our spend on strategic growth projects, which was largely a result of our bidding costs associated the proposed acquisition of AusNet and the proportion of that costs associated with the acquisition of our interest in Basslink. Our corporate costs reflect the intentional investment we are making to strengthen our capability. This is crucial to ensure we are well-positioned to pursue our growth opportunity and ultimately creates sustainable long-term value for you, our investors. The growth you can see here reflects a program of work that began last year. They are in a large part. The annualization of costs associated with our investment in areas such as sustainability and community and business development. Evidence of the financial returns we generate from these investments can be seen with our $1.4 billion organic development pipeline, which continues to grow and can only come from an ongoing investment in areas such as business development. We've seen insurance premiums again seeing higher during the period, and you can see the highest cost of regulatory compliance also coming through our cost base. We are enhancing our investment in critical areas, such as physical and cyber security. And we are investing to enhance our systems and processes to become more efficient and more scalable. These investments improve the way we get things done at APA and go last way in making us an employer of choice. Our ongoing investment in systems processes and again importantly our people will ensure we have the capability to capitalize on the significant growth opportunities before us. We'll continue to invest in our business because it creates long-term value. To touch briefly on the supply chain issues being faced by many organizations, I'm pleased to say that we have been well protected thus far. Again, a call out to our operations and procurement teams who have been quick to deal with such issues by maintaining a solid inventory of spares and having arrangements in place with key suppliers to ensure we can continue to reliably service our customers. That said we monitor the situation closely, especially for our development projects that will continue to rely not only the delivery of products and services to construct our new infrastructure assets, but also a mobile workforce. We remain cautious about our ability to mobilize our teams in certain states to deliver these critical assets given the dependency on government policy about the mobility of Australia's workforce. Nonetheless though, we are pleased with, for example, the recent West Australian – with an Australian government announcement that it will be opening it quarters, which is very important to ensure that we have a workforce on the ground to deliver the projects we have underway in that state. Turning to Slide 19, and our solid earnings growth from recent capital management initiatives have been instrumental in delivering strong free cash flow growth during the period. The liability management exercise executed in March last year has delivered tax savings and more importantly sustainable interest cost savings. We said the transaction would be value accretive, and we said it would be free cash accretive and you can see this being delivered in our results today. The lower tax payments are also as a reminder, are into the federal government's accelerated depreciation allowance for capital projects, which continues through to June 2023. We've had a benefit to working capital during the period owing in parts to a number of non-cash items that flow through both the P&L and the balance sheet. And as such, we didn't incorporate these cash flows into our assessment of the interim distribution. And we had lower stay-in-business CapEx during the period, which last year was unusually high again because of the overall work at Diamantina. Looking forward, you can see that we continue to make strong progress with our organic growth pipeline as seen on Slide 20. It has grown again since FY'21 and now stands at $1.4 billion. This now includes the Mica Creek Solar Farm, and we remain confident about our long-term pipeline of activities across a range of energy sectors including gas, electricity, and renewables. We would expect this to continue to grow as a retirement of coal from our energy system accelerates. Importantly our organic growth pipeline is an indicator of the healthy earnings growth we can deliver over the longer term. We referenced our capital strategy on Slide 21. I said earlier that our capital strategy is fundamental in supporting our resilience business operations and to facilitate growth. We continue to strive to deliver value for our security holders and use our capital strategy as all to achieve this. And again, our liability management exercise undertaken in 2021 is an example of this in action. Moving now to Slide 22 where we address inflation, which has clearly become very public [indiscernible]. The purpose of this slide is to remind our audience about the favorable exposure we have to a rising rate environment. Almost all of our revenues are inflation linked. Our biggest cost interest is currently fully hedged. We don't have any material refinancing due until 2025 and with an average debt maturity of seven years; we are well protected from potential future interest rate prizes. Now typical of a capital-intensive infrastructure business we also generate high margins. That means that when we couple our tariff escalating revenues with a favorable interest rate exposure and high margins, we would expect to see a significant amount of the benefits to our revenue as a result of inflation flowing through to cash flows, which can be then reinvested in the business or passed onto you, our investors by way of distributions. Moving to Slide 23 and we know that a strong balance sheet is essential to support growth and to protect the financial interests of our investors. Our balance sheet puts APA in a very strong position to execute our strategy. Our liquidity remains healthy at $1.8 billion, and we fit comfortably within our rating frames with significant headroom available for us to support the funding of growth projects and/or to potentially consider other capital management initiatives. We remain highly confident in our ability to deploy capital to pursue growth that will enhance security holder value over the longer term, and we will continue to remain disciplined in that regard. Equally, we are updating our constitution to facilitate buyback. We may choose to implement if we believe they would deliver superior security holder value. Given our substantial credit metric headroom our choice to use the capacity in our balance sheets to fund growth or to fund buybacks is not mutually exclusive. They can be done together. Ultimately, we are ensuring we are best positioned to have the flexibility to deploy our capital to initiatives that create value. Now to our outlook on Slide 24, firstly, we remain confident about the long-term cash generation of the business. This is evidenced by our $0.53 per security distribution guidance for FY'22, which represents a 4% increase from last year. I remind you again that APA has almost all of its revenues inflation linked. Our exposure to rising cost is minimized by our high margins, which means we've seen most of our revenue gains flowing through the cash flow and our drawn debt is currently all fixed with no material refinancing due until 2025. I'd just like to touch brief on our WGP, our Wallumbilla Gladstone Pipeline hedging arrangements. When we acquired WGP in 2015, we hedge our effects exposure by establishing a series of U.S. denominator debt facilities to create a natural hedge as well as entering into a series of forward exchange contracts. These contracts expire in March 2022 so we've just entered into new contracts, which will expire in 2025. These new contracts will ensure we minimize any FX impact on our reported earnings and cash flows. There is however a difference in the FX rate between the natural hedge that was originally established for the upcoming period and the new exchange contracts would've just been put in place, which will result in our annualized revenues in Australian dollar terms being approximately $36 million lower than when compared to the old position. Importantly, this has only an accounting impact on EBITDA and it will not impact our free cash nor our distributions. I just need to underline that we do not impact our free cash nor our distribution. And you can find more detail about this in our Directors’ report. We'll also continue to invest in systems and process enhancements to ensure we are more efficient and scalable and importantly to make APA an even more attractive place to work. So, to make a few concluding comments, our results reflect our strong operating model, including our inflation link revenues. Our cash flow conversion allows us to internally fund our investments and reward our security holders with healthy distribution. Our capital strategy continues to serve as a critical tool to create value for our investors. And we will ensure our investments continue to create long-term value. We remain confident about FY'22, and we remain confident about the years ahead. Thank you for your time, and I'll now hand it back to Rob for his closing remark.
Rob Wheals: Thanks. Adam. And as Adam said, I'll make some concluding comments. We've once again delivered a solid performance in this first half of financial year 2022, and it's a result which as you can understand we are very pleased with. We continue to create value for our stakeholders including our customers, communities, and our security holders. And as the energy transition accelerates, I am absolutely confident that we have the right strategy, the right capabilities and the balance strength to deliver on our vision, which is to be world class in energy solutions. Our organic growth pipeline is pleasingly grown by some 40% in the last 12 months and our strategic investment in Basslink, which we announced earlier this week, will see us expand our electricity transmission footprint paving the way for further investments in the asset life. There are enormous opportunities in front of us to participate in the delivery of electricity transmission, particularly in New South Wales' renewable energy zones and we are determined to play a role. At the same time the rapid retirement of coal will place even greater demand on gas is a vital transition fuel giving us absolute confidence in the role of gas for many, many, many years to come. We're also investing in the energy solutions of tomorrow and determined to see the full potential of our Pathfinder innovation initiatives come to life, delivering the responsible energy solutions that will be vital to Australia's future and key to our net zero ambitions. Just as we had over the past 20 years, we will continue to grow and evolve our business to ensure API remains an energy infrastructure leader, and that's consistent with the brand which we re-launched last year, APA standing for always powering ahead. On that note, APA is a great business, strong foundations and a significant opportunity in front of us as the energy markets transition over the coming decades. And I want to thank you for your attainment today, and we'll now move to questions.
Operator: Your first question comes from Tom Allen from UBS. Please go ahead.
Tom Allen: Good morning, Rob, Adam and the team. I was hoping, firstly, you could please provide some color on the underlying contracting outlook for the base business, just with east coast gas prices expected to rise strongly over the next few years and imported LNG is looking very expensive. So, are you seeing stronger demand for contracting gas transportation to bring Northern Australian south into Victoria and New South Wales?
Rob Wheals: Good day, Tom, and thank you. Look the short answer to your question is yes. But maybe I could elaborate a little bit more. If we look at what's happened during the half, and in fact the last 12 months, we've seen a lot of interest from customers seeking services to move gas south and that is further confirmed with comments from the ACCC I think last week pointing to the, the shortfalls in the south. We initiated our expansion of our East Coast Gas grid a little over 12 months ago of that order. And with the 25% increase in capacity from north to south that project is well underway, and we are seeing strong demand. As the pipeline system between Queensland and Victoria is fully contracted and all the discussions, we are having currently with customers is in relation to that new capacity. So short answer was, yes, the longer answer is also yes.
Tom Allen: That's good. That's helpful. Thanks, Rob. And just following the theme of the week around the impact of accelerated closure of coal fire generation. Can you describe how your customers might contract for an increasing reliance on gas power generation going forward? So arguably the total volume of gas demand might decline over time, but if your customers need the option to put gas generation on any given day, will they be needing to lock in the same on your pipes going forward? So – or are you offering new higher price tariffs that offer greater volume flexibility going forward?
Rob Wheals: Tom, the services that we've offered our customers in the past, I think would be the similar sorts of services into the future. They need the ability to get gas close to where their power station is located and the need – they need storage close to the power station. We contract effectively the capacity in the pipeline can be used either as transportation or storage. I would expect to see that the sorts of services we offer on the go forward will be structured similarly, which reflects the need for customers to have the ability to refill and the ability to have gas on hand to meet the peaking power needs of power station. So, the – you're right that over time we might see with the role that peaking power stations will play supporting variable renewable energy will, will not be a consistent flow from a day-to-day, hour-to-hour, but when it is needed that capacity will be needed to firm up the energy needs.
Tom Allen: Thanks, Rob. I'm trying to switch, make one last question. Just something you can help us understand the long-term strategic value for Basslink. So, recognizing the assets technical limits have been derated a couple of times, and perhaps it hasn't met the needs of Hydro Tas. Can you help us understand what the future suite of services might look like that will provide the service at Hydro Tasmania needs? And then also maybe just a comment on the long-term need for that asset, if Marinus Link were developed?
Rob Wheals: Yes. Tom, look first of all that that investment in inquiring the debt of associated with that asset is a step towards ownership of the asset, which is consistent with our strategy to invest in electricity transmission infrastructure. So, this is a steppingstone towards more capability and more investment in that space. As to the next steps clearly having acquired the debt will be engaging with the receivers and managers with the state of Tasmania, with the customer Hydro Tasmania to put to work through what the commercial arrangements will look forward. So, look to you on an ongoing basis. And clearly, we'd be very much focused on the needs of what our customer – what the customer will need at Hydro Tasmania, and that's a critical piece of infrastructure. It's the main connection between the state of Tasmania and the mainland, and obviously whilst directionally, you've got more, you've got Hydro and Wind generation going from the state of Tasmania to the mainland equally also support provides a security supply in times of Hydro and Wind drought. As to the question what is the long-term? There's we see this tremendous opportunity working with the state and federal government and for the – to deliver their vision around the Marinus Link. There's also significant investment required in the battery of the nation and associated wind. So, I think just sticking with the subsidy cable and the transmission the Marinus Link there'll be synergies associated with operating a parallel piece of infrastructure coordinating outages. These are a lot of information that has been learned over the years around the subsidy and how that operates. So, I think there's tremendous opportunity for us to position ourselves to support the state and federal government delivering on their vision.
Tom Allen: Okay. Thanks very much, Rob.
Rob Wheals: Thanks, Tom.
Operator: Thank you. Your next question comes from Rob Koh from Morgan Stanley. Please go ahead.
Rob Koh: Good morning. Congratulations on the result. Can I ask just a further question on Basslink? Do you – are you able to give us a sense of where the DORC, the DORC value of that asset is perhaps in relation to the debt that you might buy?
Rob Wheals: Thanks Rob and firstly thank you for your comments. So, are we very pleased with the results? It's a solid result back of a strong performance and again also executing on growth initiatives. We – it's not a number we've talked about publicly and clearly that's one of the processes that we'll be going through is the next step. Obviously, we need to seek to quality as a person work with the receivers and managers to do that. Then we'll be engaging with all stakeholders including the AI in the determination of the regulated asset base on a go-forward basis. And as you know, there's a – there's are a number of different methodologies not just the DORC associated with that yet.
Rob Koh: Yes, okay.
Rob Wheals: I know I haven't answered your question specifically, but it's a piece of work that is obviously quite detailed and will be engaging with all the right parties to work through.
Rob Koh: Yes, yes. No that's, I totally respect that. Thank you. Okay. Perhaps a question for Mr. Watson, if I can; just thank you for the extra color on the FX hedging you'd promise that you'd update us on that. And in the notes to the financial accounts, it mentions that there's about 130 mil of non-cash FX loss. And so, yes, I totally get it when non-cash we're not that worried, but just – will that be coming out through the underlying EBITDA line over 22 to 25? That's I guess, part one of the question. And part two of the question is could we be looking for more U.S. dollar revenue in the company in the coming years?
Adam Watson: Thank you, Rob. So, answering your first question is that is our tension. We would like to put those non-cash FX impacts below the line. So, you'll know that there's the market-to-markets we have on one of our wind farms. Things like fast costs which historically have been capitalized weren't overly material in this half, but we'll be making further investments over the next couple of years in our systems to ensure that they're more scalable. So those costs would've ordinarily gone and sat on the balance sheet. So, we'll put them below the line, and this is another one because it relates to the hedging transaction to the past and effectively, it's just an amortization to write off the old hedging relationship, that is certainly our intention. Our intention is to make sure that the results that we present as an underlying number are as plain and representative of the operation of the business rather than the accounting things that we have to deal with on a periodic basis. So, we’ll be transparent. Rob, we’ll call it out, but that is our intent is put it below the line. I think the answer to your second question is more so in the cash flow from WGP. I don’t think if you’re asking if we’re going to try and write new contracts in U.S. It’s more for us the WGP contract and look, this is a story which is not the similar to the rest of our business in Australia, as well as that we’re going to be beneficiaries of arising inflationary environment and WGP in particular, which is based on a series of U.S. inflation indexes is going to do quite well in this calendar year 2022, as I mentioned, a 7.5% percent increase in that escalator. The thing to remind people though is that we’ve just come off a period of two or three years with very flat growth in our business because inflation was low. So, we’re not crying about this. Yes, it’s a good operating model for us to be exposed to and again, we are going to be beneficiaries of what we’re all expecting to be a little bit more of the norm moving forward. But that’s the point is that we take risk as an infrastructure owner and operator and developer a lot of capital that gets put into the balance sheet, a lot of capital that gets put into these projects. And from a customer perspective, we take risk on that and we take the positives, we take the negatives and over the life of the asset you expect for that to all sort of average out to a good return for us and a good product and a good outcome for our customers.
Rob Wheals: Yes. Okay, cool. Yes, what I actually meant was like you still looking at U.S. investments?
Rob Koh: Or you mean strategically…
Adam Watson: Yes. Thanks. Rob. Will you probably got an answer to another question that you didn’t answer, but just good answer?
Rob Wheals: Good answer that. I’m happy with that.
Adam Watson: You can tick the one off your list now. Well, look, if your question was our focus in the U.S. look, I think short answer is Rob, as you know, we remain very focused on that marketing – an attractive market. The energy transition is underway there as it is here in Australia, as it is elsewhere significant investment required to support that transition. And as you know, we’ve communicated that’s our focus in the U.S. has shifted to also include electricity infrastructure. And that’s been the focus of the team on the ground is doing – is extending their look into those sorts of assets. And well, I think we’ve said this time again, and I – but I’ll repeat it because it’s important. We will remain very disciplined in the way we think about any opportunity. We’ll remain cautious as we think about what those opportunities look like, but we are optimistic about what the future looks like in the U.S. when we have something to talk about and we will bring it to our investors because on that basis that it’s very accretive.
Rob Koh: Okay, great. Thank you very much. Mr. Wheals, appreciate it.
Operator: Thank you. Your next question comes from Ian Myles from Macquarie Equities. Please go ahead.
Ian Myles: Hey guys, congratulations on the result. Couple of quick questions Southwest Queensland pipe, I think IPO contract was diminishing. You actually performed really well there. I was just sort of wondering what’s driven that, that specific performance in the pipes.
Rob Wheals: Ian, it’s Rob here. I think it might be a question we can take on one on one. I think we…
Ian Myles: Sure. Perfect.
Rob Wheals: – detail there, but obviously what we do see from time to time is different services customers as the needs change. And that, that that’s just sort of more generic answer, but we’ll be sure to give you more specific answer.
Ian Myles: Orbost, what actually happens on after May 2022 when the stands to finishes?
Adam Watson: Thanks, Ian. I’ll take that question. Look, the first of all, I think what I would say, we are very pleased with the or recent performance at the Orbost plant, and that’s been the work of a very focused piece of work, working with our operations teams, our technical teams together with their external experts and also with our customer Cooper Energy. We’re pleased with the performance of the plan is now we’re continuing to focus on – continuing to improve that performance and alongside all of that, we have ongoing conversations with our customer Cooper Energy around what those long-term arrangements will look like and when we’ve got something to talk about then where we’ll know that we jointly communicating that.
Ian Myles: Okay. Couple others in – on the Kurri Kurri plant, the later which you are building, does that have capability of actually doing double the volume? Are you staying to hit physical constraints of the supply pipeline, which Gemini owns the size, so wanted to double the size of the plant? Could you actually manage that?
Adam Watson: Yes. That’s just in general terms, what we are doing with that lateral. And that’s the work in the design was all done prior to this last week’s announcements. And – but some thinking about or some media commentary around potentially increasing the capacity of their plant, but because of the size of the supply coming out of the Gemini as we’ve obviously been very focused on making sure that the lateral, as it gets closer to the power station has, then it turns into effectively a large storage capacity to meet the needs of that power station as to whether or not that will – that storage capacity will be revisited. In the context of the more recent developments, I’ll have to – we’ll have to come back to you on that. I think that load out be some – be part of any discussions between our commercial team and Snowy Hydro.
Ian Myles: Okay. One final question, hydrogen, you talk about it going into the VTS and considering as far as where hydrogen has a lower energy density at the same pressure as the current pipelines. I guess how does this system or how do you visit your system or work with your effectively delivering lot energy or carbon molecules to your customers?
Rob Wheals: Look the – as you know there’s a lot of work to do not just here in Australia with pipeline with globally on understanding the answer to those questions, but very simply the way we deal with the expectation whether it’s the Victorian system or the other system, is that the way you deal with any potential safety risks around the transportation of hydrogen is you lower the pressure or you lower the – you change the way you operate with recycling and pressuring up and pressuring down. Your comment around lower energy value, what that translates into meaning for the same volume, you move less energy that, that is true, but I think all of that work is work that will be done and will be the subject of that that study that we are doing. But more importantly, I think we’ve got more than 2,000 kilometers of pipeline that’s connects up Victoria to customers, whether the industrial, commercial, residential this talk of blending hydrogen into the distribution system, and therefore makes absolute sense that we think about how we can blend hydrogen safely into the transmission system as well.
Ian Myles: Okay. That’s great. Thanks.
Operator: Thank you. Your next question comes from Jock Traveerungroj from Barrenjoey. Please go ahead.
Jock Traveerungroj: Good morning, all. Thanks for taking my question. Just a quick one from me. Can you talk around how you think about organic and inorganic growth opportunities relative to potential capital returns for excess balance of capacity, given the ESG backdrop and outlook for increasing interest rates?
Rob Wheals: Thanks, Jock, and thank you for question. Look, we are always very focused on creating value and whether that value is through growth, which could be function of organic or inorganic or through balance sheet management, capital manage and number of things that we are always looking to do in that regard. We are always going to be focused on – in particular, what our customers are needing on our network whether it's further expansion in gas services or expansion of our renewable energy services, which as you saw just prior to Christmas, we announced the development of the Mica Creek Solar Farm. But I think what we didn't maybe talk about and we should have is the fact that that didn't come about just because we can build and own and operator a solar farm, but because we can integrate the flexibility in the way we operate the pipeline, the way we operate the power station to support firmed, renewable energy in that region. Short answer is to your question, we'll always weigh up the organic and the organic, – sorry, the inorganic and the organic opportunities that are in front of us. I think that's probably all I can say least I’m looking to Adam, whether you want to add anything to that answer. 
Adam Watson: I think the only thing I'll add Rob is that we're in a position where we can do both. So again, I'll just underline what I said, which was our capacity to do, to fund growth or to fund something like a buy backer is not mutually exclusive. We've got a really, really strong balance sheet, got a lot of capacity on the balance sheet. And when we look at growth, we are always going to be looking at it through the lens of creating that you for our security holders. If we can do that through growth, then that's great. If we've got a bit of excess capacity and we want to return some of that to our security holders, we can do that. And the whole point of this flagging what we've done, which is to get our constitution right to be able to do it is to really just make sure we've got the flexibility to be able to do what we think is best at the right and most appropriate time to create value for our security holds.
Jock Traveerungroj: Thank you.
Operator: Thank you. Your next question comes from Peter Wilson from Credit Suisse. Please go ahead.
Peter Wilson: Thank you. Good morning. Just a question on the Northern Goldfields Interconnect. I recall that it was planned to enter into new contracts as one for the rest. Is there any update on kind of new contracts with customers or do we have to wait until that one is operational before you can start to sign new customer contracts?
Rob Wheals: Good day. Peter, it’s Rob here. Thanks for your question. Look, we are obviously very excited about the Northern Goldfield Interconnect project. It's an innovative project, as we know, to create that additional capacity on the Goldfields Pipeline whilst also connecting other supply sources and obviously more cost-effective way of delivering that capacity. Before I get to the answer to your question and the timing of the project, we had slept largely due to well, the first date of operations of that interconnector has moved into, I think, in the first quarter, next calendar year. And that's really off the backlog from delays and getting the necessary approvals. And we're just about to go back on the actual construction activity. Why that's important is we've actually got a whole bunch of contracts all lined up, ready to execute about 25% of the capacity. And once we've been waiting for that certainty around first date of services. So, our team will now move to concluding those arrangements. And the other thing I'd say is that the list of opportunities that we saw in that market, and we know that market well, the list of opportunities we saw when we hit the go button and the financial investment decision to proceed is now greater than it was at that point in time. So, the market opportunity is not only – we remain confident because it's actually grown from our point of view. And that's why I said that the [indiscernible] is an exciting project for us.
Peter Wilson: Great. And then Rob I guess I'd like to know what message you think we should take away from the VTS proposal. And specifically, what I'm talking about is while you have painted a pretty positive picture on the outlook for gas demand in sales presentation the VTS draft proposal has an accelerated depreciation profile and a new 30-year cap on asset life which in your proposal, you argue is more consistent with the risk associated with net zero. So, I guess I'm just wondering what should we extrapolate from that VTS proposal to the rest of your business in terms of that 30-year asset life cap, the need for accelerated depreciation, et cetera?
Rob Wheals: Yes, good Peter. Thanks for raising the question. It's a complex area. And the list of issues that we've had to sort of navigate through on the Victorian Transmission Access Arrangement has been significant. So, on the one hand we've got government, in Victoria we've got customers and we've got AEMO all looking for us to invest now to support security of supply as becoming decade and decade. On the other hand we’ve got the Victorian Gas Substitution Roadmap, which is saying that targeting the movement to away from gas, into electricity and off the back of that that's led us to conclude through a lot of stakeholder engagement that it probably makes sense and is prudent to think about accelerated depreciation now, so that we can manage the de-generational cost of that, so that it's not left – if it were to happen, that it's not left for people and customers later down the line. But then the other complication of course, is that we see significant opportunity, not just a role of gas going forward, but also to be able to transport hydrogen. And that's why we've included in our access arrangement the study and the blueprint to do that. So, it's a complex area. And the important thing is we think that it's prudent to start thinking about accelerated depreciation once there's more clarity around either the transition to hydrogen or the longevity of gas in the system, then that acceleration can either can be slowed down if that was necessary. Now how it relates – the other part of your question, how does it relate to other assets? Well, that's a particular case example where we have a government consultation paper out on gas substitution. Clearly, our view is that as you would expect that you take a peak winter day in Victoria, there is twice as much energy going through the gas system as there is through the electricity system. Then you see the 65% or more of the electricity in Victoria comes from coal. So, the obvious starting place to decarbonize is taking coal out of your system. And you don't want to be doing that the same time as you're taking gas out of your system. I think as I said in my comments earlier, we've seen that happening in Europe, they have recognized their mistakes and where ambition has gotten head of reality and the change in testing you would've seen the European taxonomy recognizing the importance of gas as part of generation. So, look, I know it's a long answer to your question. The fact is it is uncertainty, and that's why we try to juggle both the accelerated appreciation side of things, as well as focusing on the hydrogen – the ability of the pipelines to carry hydrogen into the future.
Peter Wilson: That's a good answer. Thank you. I'll leave it there.
Operator: Thank you. This does conclude the question-and-answer session for today's conference. I’ll now hand back to Mr. Wheals for closing remarks.
Rob Wheals: Well, thank you very much, everybody for your attendance today. As I've said in our commentary today, we are very pleased with what is a very solid result, strong performance from the business, good delivery against our strategic objectives. And we really are confident around the role of gas and the role of our gas infrastructure to the future, but equally really focused on the role that we can play in the energy transition of which there is abundant opportunity. So, thank you for listening in, thank you for your quick questions and we look forward to catching up with you over the course of the coming weeks.